Operator: Good morning. My name is Christy, and I will be your conference operator today. At this time, I would like to welcome everyone to The Madison Square Garden Company Fiscal Fourth Quarter and Year End Conference Call. All lines have been placed on mute to prevent and background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. I would now like to turn the call over to Ari Danes, Vice President of Investor Relations for The Madison Square Garden Company. Please go ahead, sir.
Ari Danes - Vice President-Investor Relations: Thank you, Christy. Good morning and welcome to The Madison Square Garden Company's fiscal 2015 fourth quarter and year-end earnings conference call. Our Executive Chairman, Jim Dolan, will begin this morning's call with a discussion of some of the company's recent highlights. We will then hear from our new President and CEO, Doc O'Connor. This will be followed by a review of our financial results with our Interim Chief Financial Officer, Donna Coleman, and an update on the company's planned spin-off with our Vice Chairman, Gregg Seibert. After our prepared remarks, we will open up the call for questions. If you do not have a copy of today's earnings release, it is available in the Investors section of our website at the madisonsquaregardencompany.com. Please take note of the following. Today's discussion may contain statements that constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that any such forward-looking statements are not guarantees of future performance or results and involve risks and uncertainties, and that actual results, developments, and events may differ materially from those in the forward-looking statements as a result of various factors. These include financial community perceptions of the company and its business, operations, financial condition, and the industry in which it operates, as well as the factors described in the company's filings with the Securities and Exchange Commission, including the sections entitled Risk Factors and Management's Discussion and Analysis of Financial Condition and Results of Operations contained therein. The company disclaims any obligation to update any forward-looking statements that may be discussed during this call. Let me point out that on page 4 of today's earnings release, we provide consolidated statements of operations and a reconciliation of adjusted operating cash flow, or AOCF, to operating income. I would now like to introduce Jim Dolan, Executive Chairman of The Madison Square Garden Company.
James Lawrence Dolan - Executive Chairman: Thank you, Ari, and good morning. Let me start by telling you how pleased I am to have Doc O'Connor, MSG's new president and CEO here with us today. Doc has spent the last 30 years at CAA, where he helped built one of the most respected talent and sports agencies in the world. For the last 20 years, he was a partner and managing director and played a critical role in helping to expand the agency's operations. Having someone with Doc's experience and relationships will be of enormous value as we explore new ways to strengthen our brands and pursue growth opportunities that expand our business and increase shareholder value. You'll be hearing from Doc shortly. For today's call, because Doc only recently joined the company, I will start by walking you through some recent highlights beginning with our financial results. Driven by ongoing demand for our portfolio of media, sports and entertainment assets and brands, the company delivered strong financial results for both the fourth quarter and fiscal 2015. For the fourth quarter, revenue increased 4% to $388 million, and AOCF increased 101% to $111 million, while for the full year, revenue increased 4% to $1.6 billion, and AOCF increased 40% to $437 million. In addition to the company generating record AOCF for fiscal 2015. Other key highlights from this past year include: the successful first run of our brand new large-scale theatrical New York Spring Spectacular; the first full year of operation for our newest venue, the Forum, which has already established a leading presence in the L.A. market; the initiation of the company's first ever share repurchase program; the addition of significant independent talent to our board, Nelson Peltz, Scott Sperling and most recently John Sykes, who, with his vast media experience, will be a valuable contributor; and significant progress toward the completion of the proposed spin-off of our sports and entertainment businesses from our media business, which Gregg will discuss in more detail shortly. Now, to MSG Sports. The Rangers captured their first Presidents' Trophy since 1993-1994 for the league's best regular season record. The Rangers went on to earn two playoff series wins over Pittsburgh and Washington before losing a hard-fought seven-game series against Tampa Bay in the Eastern Conference Finals. Following this season, we announced that Jeff Gorton has been named the 11th General Manager in Rangers' history and that Hall-of-Famer Glen Sather will continue on as Team President. And just last month, the team re-signed its alternate captain and top line center, Derek Stepan. The Knicks had a productive off-season, selecting Kristaps Porziņģis and Jerian Grant for the first round of the 2015 NBA draft and signing several key free agents including Arron Afflalo and Robin Lopez. Our player development efforts were also enhanced this past year with the debut of the Westchester Knicks, the NBA D-League's 18th team and the exclusive affiliate of the Knicks. We are looking forward to the 2015-2016 seasons for both the Knicks and the Rangers. Meanwhile, the Liberty, led by president Isaiah Thomas and coach Bill Laimbeer, have a current record of 17 and 7, a significant improvement from last season when they finished with a record of 15 and 19. Additionally, during this past quarter, we announced the new multiyear signature marketing partnership with DraftKings, which provides the fantasy sports destination with year-round brand exposure across our media, sports and entertainment assets. In addition to being the official daily fantasy sports partner of MSG's teams and the world's most famous arena, DraftKings is also a marquee partner of Liberty with prominent logo and placement on the team's jerseys. Separately last month, we further enhanced our relationship with DraftKings by making a small strategic investment in the fast-growing company alongside a number of other major strategic investors. Meanwhile, MSG Sports continues to host a variety of memorable events. This weekend, The Garden will become the first time ever – we will welcome for the first time ever the League of Legends Championship Series, a two-day sold out event around this popular E-sports game, which boasts the world's largest online gaming community. And in October, The Garden will host the World Middleweight Championship title unification bout, as boxing superstar Gennady Golovkin takes on IBF Middleweight title holder David Lemieux. Turning to MSG Entertainment. In addition to serving as destinations of choice for a wide variety of artists and events, our venues continue to earn critical acclaim. The Garden and the Forum were ranked the nation's first and second highest grossing venues in their respective class based on Billboard Magazine's 2015 midyear rankings. In addition, Radio City Music Hall was ranked number one worldwide in its class, while The Theater at Madison Square Garden, The Beacon Theater and The Chicago Theater all placed in the top 10 worldwide. Thanks to their popularity and prestige, our venues continue to attract a diverse array of artists and events. We are in the midst of a strong summer for both MSG and the Forum as each venue has significantly increased the number of concerts between Memorial Day and Labor Day compared with last summer. On July 1, as part of his landmark residency, Billy Joel took to The Garden stage for the 65th time, setting a new record for most performances by any artist at the world's most famous arena. Other recent highlights include U2 playing five nights at the Forum and eight nights at The Garden. In fiscal 2016, we look forward to continuing to deliver unforgettable events. Next month, His Holiness, Pope Francis will celebrate mass at Madison Square Garden as part of his widely anticipated U.S. visit. This historic occasion will mark the first time a current pope has visited The Garden since Pope John Paul II in 1979. Now to our media segment. Our regional sports networks, MSG Network and MSG+ were once again recognized for their commitment to programming excellence with 16 New York Emmy Awards this year. This includes 13 awards for MSG Network, which has won 112 Emmys over the past eight years, more than any other single network or station in the region during that time. Our summer programming includes the WNBA's New York Liberty, Major League Soccer's New York Red Bulls, and the Knicks Summer League. MSG Network is also utilizing content from our partners as part of its summer line-up, including stand-up comedy specials from Azoff MSG's Levity Entertainment Group and popular movies from Tribeca Films. Before we hear from Donna and Gregg, I'd like to turn the call over to Doc to say just a few words.
David Justin O'Connor - President & Chief Executive Officer: Thanks, Jim. And good morning, everyone. Growing up in New Jersey, some of my earliest and fondest memories involve MSG from watching the Knicks and the Rangers in The Garden, to Radio City Music Hall and the Christmas Spectacular. I've also, during my 30 years in Los Angeles, been able to enjoy countless wonderful experiences at the Forum. It's a privilege for me to come full circle and have the honor of joining the company that owns and operates these iconic venues and brands. I look forward to working with Jim and the management team and employees across the company to find new ways to grow MSG. I'm particularly enthusiastic about the spin-off, which we believe will position both companies for future success. In the coming weeks, we'll meet with many of you and the investment community to share more about our long term plans. With that, I'll turn the call over to Donna.
Donna Coleman - Chief Financial Officer: Thanks, Doc, and good morning, everyone. As Jim noted, the company delivered strong financial results for fiscal 2015. Revenue growth of 4% for the year was primarily driven by our MSG Entertainment and MSG Sports segment. Excluding the impact of the absence of Fuse, MSG Media revenues also increased as compared to the prior year. Total company AOCF growth of 40% was driven by MSG Sports and MSG Entertainment, with our Sports segment nearly reaching $100 million in AOCF for the year and MSG Entertainment returning to full-year profitability with positive $32 million in AOCF. Let me now provide some detail on our quarterly results as compared to the prior year period. For our fiscal fourth quarter, revenue increased 4% to $387.9 million, while consolidated AOCF increased 101% to $110.6 million. MSG Media generated $153.2 million in revenue, a decrease of 13%, which reflects the absence of Fuse, partially offset by revenue growth at MSG Networks. Affiliation fee revenue decreased $16 million due to the absence of Fuse, partially offset by a small increase in affiliation fee revenue at MSG Networks. The affiliation fee revenue increase at MSG Networks was mainly a result of higher affiliation rates, partially offset by the impact of a low-single-digit percentage decrease in subscribers versus the prior year period and, to a lesser extent, the negative impact of an affiliate adjustment related to prior period. Advertising revenue decreased $7.8 million, almost entirely due to the absence of Fuse. On a reported basis, Media AOCF of $81.5 million in the fourth quarter was down 3% versus the prior year quarter. Excluding the impact from the absence of Fuse and the negative impact of the affiliate adjustment related to prior period, MSG Media revenues increased $6.2 million or 4%, and AOCF increased $2.3 million or 3% as compared to the prior year quarter. Our MSG Entertainment segment generated $93.2 million in revenue in our fourth quarter, an increase of 65%. This increase was primarily due to the first year run of the New York Spring Spectacular, higher overall event-related revenues at the company's venues and higher venue-related sponsorship and signage and suite rental fee revenues. In addition, segment revenue for the quarter reflects an insurance recovery related to the lost Radio City Christmas Spectacular revenues due to Superstorm Sandy in 2012. MSG Entertainment AOCF loss of $6 million in the fourth quarter improved by $5.3 million or 47%, primarily as a result of the increase in revenues, partially offset by higher direct operating expenses. The increase in direct operating expenses primarily reflects costs associated with the first year run of the New York Springs Spectacular and to a lesser extent, an increase in event-related operating expenses and venue operating costs. In addition, segment results for the quarter benefited from the absence of a write-off of deferred production cost related to the Christmas Spectacular in the year-ago quarter. The insurance recovery and absence of the Christmas Spectacular write-off favorably impacted the year-over-year AOCF comparison at MSG Entertainment by about $5.8 million in the quarter. Our MSG Sports segment generated $161.6 million in revenue in the fourth quarter, an increase of 3%. This increase in revenue primarily stems from higher league distributions, sponsorship and signing revenues, inter-segment rights fees, and suite rental fee revenue, partially offset by lower playoff-related revenues. Fourth quarter Sports AOCF increased by $55.6 million to $45.3 million as a result of lower direct operating expenses and to a lesser extent, the increase in revenue and lower SG&A expenses. The decrease in direct operating expenses was primarily due to the absence of a $37.6 million in provisions for certain team personnel transactions recorded during the prior-year quarter as well as lower team compensation costs. Turning to other items, in terms of the company's previously announced $500 million share repurchase authorization, during the fourth quarter, the company repurchased 313,000 shares for $25.9 million. For fiscal 2015, we repurchased approximately 1.8 million shares for $140.7 million. In the first quarter of fiscal 2016 through yesterday, the company repurchased an additional 775,000 shares for $59.8 million at an average price of about $77 per share. And with respect to our balance sheet, as of June 30, total unrestricted net cash and cash equivalents was $218.7 million. In addition, our $500 million revolver remained undrawn with our borrowing availability at approximately $492 million as there remains approximately $8 million in letters of credit outstanding. With that, I will turn the call over to Gregg.
Gregg G. Seibert - Vice Chairman-Management Board: Thank you, Donna, and good morning. We've made significant progress since our last earnings call with respect to our plans for tax-free spin-off of our sports and entertainment businesses to the company's shareholders. This includes our receipt of a favorable private letter ruling from the IRS, transaction approvals from both the NBA and NHL, and settling the terms of media rights agreements between the teams and MSG Networks. The company's current executive management will serve as the management team of the newly created Madison Square Garden Company. In addition, all of the company's current board members will transition to the new MSG with the exception of John Sykes, who we expect will serve as a Class A Director of MSG Networks. In the coming weeks, we anticipate announcing MSG Networks' executive management team along with the rest of its board. MSG Networks has received commitments for a $1.55 billion term loan and a $250 million revolving credit facility. We anticipate the Networks will make a cash contribution of approximately $1.45 billion to MSG prior to the completion of the spin-off. This cash contribution will support MSG's business operations as well as provide capital for the pursuit of potential new growth opportunities and the significant return of capital to the company's shareholders. Through yesterday, MSG has repurchased $200 million of MSG stock under its existing $500 million repurchase authorization. We anticipate that the sports and entertainment company will have a share repurchase authorization of approximately $500 million, resulting in a combined targeted return of capital to shareholders of approximately $700 million. With respect to MSG Networks, we currently envision that the company will apply its free cash flow principally for deleveraging. The spin-off remains subject to various conditions including effectiveness of the Form 10 Registration Statement, funding of the debt financing at MSG Networks and final approval by the MSG board of directors. Assuming we meet those conditions, we anticipate completing the transaction early in the fourth calendar quarter of this year. We expect to meet with the investment community to discuss the proposed transaction and our plans for the new sports and entertainment company in the current weeks – in the coming weeks. I'll now turn the call back over to Ari.
Ari Danes - Vice President-Investor Relations: Thanks, Gregg. Christy, can we open up the call for questions?
Operator: And your first question comes from Ryan Fiftal with Morgan Stanley.
Ryan Fiftal - Morgan Stanley & Co. LLC: Great. Thank you. Good morning. I have one question for Jim and then one of Gregg as well. So, Jim, given the – all the discussion going on in media, this shouldn't be too surprising of the question, but I wanted to ask about skinny video bundles and the impact on MSG's RSN. So, obviously, you've been reporting some sub-losses. There's some direct impact there that I think we're all aware of. But I'm more wondering about how you think these trends potentially impact the strategic position of a stand-alone RSN and also whether you'd be interested in more aggressively exploiting your digital rights into potentially supplement income that you receive from the traditional pay TV ecosystem.
James Lawrence Dolan - Executive Chairman: Right. Well, that's a long subject. But let me try and give you a short answer. One is that we don't confuse Cablevision with MSG that the sub-losses at Cablevision are – described in that call, and they would do more than just cord-cutting and things like that. At MSG, the product that we have, the professional fees in particular is really core, core product for customers, particularly obviously in the New York marketplace. It's what I call must-have product. If you're going to be a multichannel video provider, you have to have it. And so, I actually think that bodes pretty well for the regional sports network and its long-term health. As far as the digital rights go, I think we're pretty aggressively pursuing our – what we have available to us, but we are somewhat limited by the league, who also has rules and regulations and ambitions in the digital area. And we need to make sure those are all in synch. And I think most importantly for us as a regional sports network is that we maintain our exclusivity as the provider of our teams in our marketplace. Whether that's digitally or analog, et cetera, and I think we are very much in agreement with the leagues. I don't want to speak for them, but I think they very much recognize the value of that and the value of the regional sports network as a vehicle to monetize sports rights. And I think they're going to uphold it for a long time. So I think the business is going to stay in good shape.
Ryan Fiftal - Morgan Stanley & Co. LLC: Okay. Thank you, Jim. And then for Gregg, I apologize if I missed it. I think you said $700 million targeted return of capital from $1.5 billion roughly debt raise. I just wasn't sure, did you give a time period on that? Sorry if I missed it. And then, I guess my question related to that is how flexible do you think the board would be going forward on accelerating or decelerating that based on the relative attractiveness of buybacks versus growth initiatives? I think there's a decent amount of investor uncertainty about how this spin co would trade in the public market. So would be curious to hear how flexible you think the board would be. Thanks.
Gregg G. Seibert - Vice Chairman-Management Board: Sure. Well, let me clarify the $700 million, because we put originally a $500 million share repurchase authorization in place in late October of 2014. So here we are less than a year later, we've been both, I would say aggressive and opportunistic in the way that we've approached the share repurchase. But we've repurchased $200 million in less than a year. When I used the number of $700 million for total targeted return of capital that includes the $200 million that's already been put to work. So we are envisioning the Sports and Entertainment company starting its independent corporate life with a $500 million share repurchase program in place, which leaves roughly $950 million out of the $1.450 billion of cash provided to the entity from the Network's financing as an investment pool. I think that $500 million out of the box is a very large and aggressive number to support sports and entertainment. But I think the sort of the message that you should take away from this is that everything here is about the building of long-term shareholder value. We believe that buying back $500 million worth of stock at Sports and Entertainment will underpin that long-term growth and shareholder value. And then they'll – there's a management team here that's very capable, that's going to take $950 million and to the extent they find the investment opportunities, they'll apply it in that manner. But $500 million is the initial program, and the board will ultimately over time make the terminations about any future repurchase programs.
Ryan Fiftal - Morgan Stanley & Co. LLC: Okay. That's helpful. Thank you.
Operator: Thank you. Your next question comes from Brandon Ross of BTIG.
Brandon A. Ross - BTIG LLC: Thanks for taking the questions. I have two quick ones for Gregg, and a follow up on Ryan's question for Jim. For Gregg, what leverage ratio is implied by the debt that you are raising at the media company? And obviously, the media sector has been pretty tumultuous lately. What gives you the confidence to lever media up that much? And how much of that confidence is driven by the timing of your affiliate renewal cycle? And if you could give any color on the rates on the term loan? And then the second question was, on the $500 million repurchase, is that something you would do on an accelerated basis or over time? And then after, I have one for Jim.
Gregg G. Seibert - Vice Chairman-Management Board: Okay, well that's three questions. Maybe four for me. Let me sort of start at the beginning. The leverage is just under 5 times. If you recall when Cablevision spun AMC out, the opening leverage there was 5.4 times. That's a cable TV programmer. This is also a cable TV programmer, but it's also a regional sports network, which has higher free cash flow conversion characteristics than more traditional entertainment type of networks. And what's happened with AMC in the four years since it's been spun off is its leverage has gone from, call it, 5.4 times, down to roughly 3.2 times today, and there's a $1.5 billion of acquisitions/JV investment in those numbers. So, I think it's been our experience that these companies can very rapidly reduce their leverage. We expect MSG Networks to be growing AOCF. We expect to be taking the free cash flow from MSG Networks and using it to repay debt. And as a result of that, we think the deleveraging profile of the company is fantastic. It's a good way to enhance shareholder returns at Networks. And we think it'll deleverage rapidly. The initial starting leverage is just a hair below 5 times and the rates we're looking at, we had a number of different proposals about how to finance this business. But given the high cash flow characteristic and quick pay down profile we see, we opted to go with the group of our relationship banks. We did what's called a term loan A as opposed to a term loan B or a public bond offering, and the rates on that are LIBOR plus 200 with no LIBOR floor. So, that is, to me, unbelievably attractive financing for the business. And we're excited about that company as a public company and excited about its ability to pay the debt back on an accelerated basis. In terms of the share repurchase program, we're not contemplating any type of accelerated share repurchase program. I think you'll see that applied in the same manner that we applied the repurchase program here at MSG, which is we'll apply it on an opportunistic basis, but clearly the repurchase program is being put in place to be utilized as opposed to just being looked at. So, I anticipate we'll be active early, but we have to see where the stock trades.
Brandon A. Ross - BTIG LLC: Great. Thanks. And then for Jim, just again a follow-up on Ryan's, what digital rights do you have at MSG Network? And is there anything that would preclude you from directly selling some kind of over-the-top offering in addition to what you give or what you sell to the MVPDs? What are the puts and takes in considering that?
James Lawrence Dolan - Executive Chairman: Well, I don't know that I should be getting directly into all the particular rules and regulations of it. I mean what I said before about the leagues supporting the regional sports business I think holds true that the – we have some flexibility. But I think conceptually, we want to continue to protect our current retailers and their methods of distribution, and I think we're going to be cautious about how we exploit our digital rights. And at the same time, yeah, as I said, we have to do it in conjunction with the league. So, I mean I'm not really giving you a strict answer on it because at this point, really, you must (29:12) have to ask the commissioners of both leagues along with me. And I'm not prepared to answer to them. So, I mean what we have now with Go product, et cetera, I think we're pretty much pushing the envelope of most of the rights that we currently have. It doesn't mean that more won't be coming to us, but that's a discussion that we'll have with the leagues and that's the best way to exploit that product.
Operator: Thank you. Your next question comes from Ben Mogil with Stifel.
Benjamin E. Mogil - Stifel, Nicolaus & Co., Inc.: Hi. Good morning and thanks for taking my question. And Doc, congratulations on the new job.
David Justin O'Connor - President & Chief Executive Officer: Thank you.
Benjamin E. Mogil - Stifel, Nicolaus & Co., Inc.: On the RSN side, so I think you ended fiscal 2013 with 7.8 million subs. I think that was the average that you quoted. I want to know where you're going to be – where you were at the end of June or maybe even where you're working in July. And then on top of that, sort of maybe talk about the trends that you saw throughout the year, throughout the last couple of quarters. Was the trend – I mean obviously, I know you talked about low-single-digit decline in the number of subs. Has that been getting better or worse? And then I've got a follow-up for the other side of the house.
Donna Coleman - Chief Financial Officer: Hi. Yeah, you'll be seeing in our 10-K that we file later that our average viewing subs is now 7.5 million. I think you've heard us mention on prior calls that we've experienced low-single-digit percentage declines year-on-year throughout the year. That's been steady for the last few months.
Benjamin E. Mogil - Stifel, Nicolaus & Co., Inc.: Okay. That's great. Thanks, Donna. And then I've got you sort of one – I just want to make sure I'm understanding this. So, of the $1.45 billion that you're drawing at TLA (30:55), $500 million goes to sports and entertainment. The other $900 million, is it going to be a combination of additional share repurchases or special dividends, or is that sort of still in the unclear zone?
Gregg G. Seibert - Vice Chairman-Management Board: The entire $1.45 billion that we're borrowing at Networks or $1.45 billion of the $1.55 billion we're borrowing at Networks goes over to sports and entertainment. Of that, $500 million is earmarked for share repurchase. $950 million is earmarked for investment capital.
Benjamin E. Mogil - Stifel, Nicolaus & Co., Inc.: Great. Thanks, Gregg. I appreciate that. And then I'm not sure if this is for Gregg or for Doc, but when you guys are looking at some of the venue opportunities that you've sort of talked about and obviously have the success in New York and the success in L.A., I think you sort of talked about largely going after sort of Tier 1 cities where the sports venues there have limited availability and there's high income and high sponsorship demand, et cetera. When you look at those attractiveness of those opportunities, coupled with the fact that tough to get real estate in a lot of the cities, expense to get real estate, if you can get it all, high building costs, et cetera, are you sort of thinking what your growth plans on the $1 billion almost that you laid out? Is that a combination of Tier A and Tier B cities or just sort of a targeted kind of market that you want to go after in expanding out to new buildings?
James Lawrence Dolan - Executive Chairman: Boy, as to your description of it, I don't think there's going to be anything to go after.
Benjamin E. Mogil - Stifel, Nicolaus & Co., Inc.: Sorry, Jim, I didn't mean to (32:18).
James Lawrence Dolan - Executive Chairman: Go ahead, Doc.
David Justin O'Connor - President & Chief Executive Officer: You want me to jump in?
James Lawrence Dolan - Executive Chairman: Sure.
David Justin O'Connor - President & Chief Executive Officer: Well, I think venues will be only part of our growth strategy. And obviously with the criteria that you laid out and the issues that you laid out, we're going to look very carefully at growing our venue business. But we're going to be looking to grow into new types of venues, new markets, new geographies aggressively. But growth comes in a lot of other categories as well. I would say that we're going to look to grow into adjacent and related businesses to the live experience business we're already in. We're going to look to grow through acquisition and through organic building here at the company. We're going to look to grow our content and IP businesses. And we'll also look to grow through enhancing our existing brands and creating greater efficiencies in our operations.
James Lawrence Dolan - Executive Chairman: Let me just add into that, though, that the L.A. Forum has been a tremendous success. And it has proven that you can build an entertainment-only facility of that size and be profitable, et cetera. We think we have a good formula for that and we're going to continue to pursue that formula in other marketplaces.
Operator: Thank you. Your next question comes from John Janedis with Jefferies.
John Janedis - Jefferies LLC: Thank you. The market has some concerns that sports rights escalators combined with the subscriber losses, in general, will increasingly pressure AOCF growth. So, can you talk about non-sports rights related costs. Is that a line item that you'll try to manage to flat or maybe down going forward?
Gregg G. Seibert - Vice Chairman-Management Board: We're trying to figure out what that is.
James Lawrence Dolan - Executive Chairman: You mean at the sports and entertainment company?
John Janedis - Jefferies LLC: Yeah.
Donna Coleman - Chief Financial Officer: Other than the sports right?
John Janedis - Jefferies LLC: Yeah.
Donna Coleman - Chief Financial Officer: Yeah, obviously, we'll always try to be as efficient as possible and manage our costs as much as possible at the Sports and Entertainment business.
James Lawrence Dolan - Executive Chairman: The sports rights costs though are, now, as particularly with the spin, are very predictable and actually are relatively controllable, too, because of the CBAs, right. For instance, all of a sudden a team's revenue went south on it, right, so does also the player cost, right. That the – which is why, by the way, the player costs are going up at the moment because media rights are on the rise. And so, there's a bit of a hedge in that one. But the product itself is still – is extremely strong, and it's exclusive, and it's rare in terms of this only 82 basketball games, 82 hockey games, et cetera, and that makes it highly valuable. I think it's going to stay that way.
John Janedis - Jefferies LLC: Okay. And then Jim, you mentioned the Go product, any evidence it's helping reduce churn, bigger picture? I'm just trying to think about ways to change the narrative around perpetual sub-losses?
James Lawrence Dolan - Executive Chairman: Well, over here at MSG, we are the wholesaler. And so our retailers don't necessarily give us all the details of their churn, et cetera. I will say we've had good take rates on MSG Go. I think it's the kind of product that early adaptors are really interested in, people who are very tech savvy, et cetera. So you're not going to see it spread across the entire footprint, et cetera. But as you look at things like cord-cutting et cetera, I think it does enhance the product and make folks want to stay with their sort of traditional TV products.
John Janedis - Jefferies LLC: Okay. Thank you.
Operator: Thank you. Your next question comes from Bryan Goldberg of Bank of America Merrill Lynch.
Bryan Goldberg - Bank of America Merrill Lynch: Hi. Thanks. My first one is for Doc. Thanks for the color earlier on some of the growth opportunities you see. And I recognize it is early days in your tenure at MSG, but I'm just curious, given your history in the space, particularly at CAA, I mean, what can you tell us about sort of the current – your current read on the state of the sports and entertainment industry? And why now, why is now the right time to move to MSG from your last (37:40)?
David Justin O'Connor - President & Chief Executive Officer: Well, as I said in my opening remarks, I've had a life-long relationship with the venues and brands of this company and a passion, career long, for media, sports and entertainment. So, as far as I was concerned, the privilege and opportunity of owning and operating these brands in the markets we're in was a once-in-a-lifetime opportunity coming particularly from the service end of the business, to now be in the operating and owning of assets was the real huge opportunity for me, and likewise to be a CEO. I think that there is a lot of trends in our business that only make and enhance the value of live entertainment. I think that live becomes more important, more replicable and more valuable in the long run given what is going on in largely the virtual world and the traditional media world. So, I'm very excited to be leading a company that is all about the live experience.
Bryan Goldberg - Bank of America Merrill Lynch: Great. Thank you and my other question is on the other side of the house. The new media rights deal for the Knicks and Rangers gives us a good visibility on a good chunk of the RSN cost structure. And I guess, looking out over the next few years, I recognize these are smaller chunks. But could you give us a sense of the other sports rates deal renewal activity that could be in the pipeline? I think I've seen some press out there about the Sabres coming up in the next year or two. Is there any detail you can share on the timing of that or the Devils or the Islanders deals?
James Lawrence Dolan - Executive Chairman: Not to give away – and not give away our strategy that the – if those are – we do have some deal rights coming up that the – obviously not Knicks and Rangers, and some of our core New York products is really committed for a long time. The rest of them, I'm actually going to have to take a pass on because they are active negotiations, and it wouldn't be appropriate for us to comment on them here.
Bryan Goldberg - Bank of America Merrill Lynch: Okay. Fair enough. Thank you.
Ari Danes - Vice President-Investor Relations: Christy, we have time for one last caller.
Operator: Sure. Your last question is coming from Amy Yong with Macquarie.
Amy Yong - Macquarie Capital (USA), Inc.: Thanks. I have two questions. One, just kind of a broader picture question on industry consolidation. Jim, you spent a fair amount of time talking about consolidation on the cable side. I wanted to get your thoughts on perhaps media and regional sports networks, and how you think about industry consolidation going forward? And then I guess the same question asked a little bit differently, on the Network side with the subscriber decline and growth in the mid-single digits, what are some of the other levers of growth that you can pull to drive media once it gets spun off? And what are some of the characteristics that you're looking for as you put the management team together? Thank you.
Gregg G. Seibert - Vice Chairman-Management Board: Jim, can I take the M&A question?
James Lawrence Dolan - Executive Chairman: Sure. Thank you.
Gregg G. Seibert - Vice Chairman-Management Board: Good morning, Amy.
Amy Yong - Macquarie Capital (USA), Inc.: Good morning, Gregg.
Gregg G. Seibert - Vice Chairman-Management Board: There's always speculation when we do spin-offs about consolidation. I remember we did the original MSG spin-off out of Cablevision and then the AMC spin-off also out of Cablevision. There was speculation that both companies were being spun off in order to be sold. There's been speculation like that around MSG Networks which I think, if I can liberally interpret your question, was kind of the direction we were headed in. Now, the purpose of this spin is to have two high-quality management teams, have the opportunity to be able to grow their businesses. I think that you certainly have seen some degree of consolidation in the RSN space. But there's no intention or interest at this point in time in selling either of these businesses. I think we believe that both businesses have a very attractive growth profile ahead of them on a long-term basis. And we're doing spins in order to set them up to be able to achieve that growth.
James Lawrence Dolan - Executive Chairman: As far as the growth opportunities at the Network, I think you should look at the network business as being a very solid, stable business in terms of its cash flow and its revenues, et cetera. That's the way we look at it. Its affiliation agreements are long term. Its sports rights agreements are all long term, et cetera. It's a little bit on rails with that. We will be opportunistic and look for opportunities to grow. But what we've also recognized that the way we've set the company up and the way we're characterizing it is that it is – we expect it to be ultimately investment grade, and it's going to be that kind of business, very solid predictable returns quarter after quarter, year after year, et cetera. We won't sacrifice that for growth.
Amy Yong - Macquarie Capital (USA), Inc.: Got it. Thank you.
Operator: Thank you. I would now like to turn the call back over to Ari Danes for any additional or closing remarks.
Ari Danes - Vice President-Investor Relations: Thank you for joining us. We look forward to speaking with you on our next earnings call. Have a good day.